Operator: Good morning and welcome to the Plexus Corp. Conference Call regarding its Fiscal Third Quarter 2019 Earnings Announcement. My name is Sylvia, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. After a brief discussion by management, we will open the conference call for questions. The conference call is scheduled to last approximately one hour. Please note that this conference is being recorded. I would now turn the call over to Ms. Heather Beresford, Plexus’ Senior Director of Communications and Investor Relations. Heather?
Heather Beresford: Good morning and thank you for joining us today. Some of the statements made and information provided during our call today will be forward-looking statements as they will not be limited to historical facts. The words believe, expect, intend, plan, anticipate and similar terms often identify forward-looking statements. Forward-looking statements are not guarantees since there are inherent difficulties in predicting future results and actual results could differ materially from those expressed or implied in the forward-looking statements. For a list of factors that could cause actual results to differ materially from those discussed, please refer to the Company's periodic SEC filings, particularly the risk factors in our Form 10-K filing for the fiscal year ended September 29, 2018, and the Safe Harbor and Fair Disclosure statement in yesterday's press release. Plexus provides non-GAAP supplemental information, such as ROIC, economic return and free cash flow, because those measures are used for internal management goals and decision-making and because they provide additional insight into financial performance. In addition, management uses these and other non-GAAP measures, such as adjusted net income and adjusted earnings per share, to provide a better understanding of core performance for purposes of period-to-period comparison. For a full reconciliation of non-GAAP supplemental information, please refer to yesterday's press release and our periodic SEC filings. We encourage participants on the call this morning to access the live webcast and supporting materials at Plexus' website at www.plexus.com, clicking on Investors at the top of that page. Joining me today are Todd Kelsey, President and Chief Executive Officer; Steve Frisch, Executive Vice President and Chief Operating Officer; and Pat Jermain, Executive Vice President and Chief Financial Officer. Consistent with prior earnings calls, Todd will provide summary comments before turning the call over to Steve and Pat for further details. Let me now turn the call over to Todd Kelsey. Todd?
Todd Kelsey: Thank you, Heather, and good morning, everyone. Please begin with our fiscal third quarter results on slide three. Yesterday evening, after the close of the market, we reported results for our fiscal third quarter of 2019. We achieved record quarterly revenue of $800 million. This result represents a 10% increase from the fiscal third quarter of 2018. We delivered revenue at the high end of our guidance range through successful program ramps and healthy demand in our differentiated end markets. Our health care and life sciences, and aerospace and defense sectors each delivered solid sequential revenue growth while meeting our expectations set at the beginning of the quarter. Our industrial/commercial and communications sectors, while down sequentially, exceeded expectations entering the quarter. GAAP EPS of $0.81 was in line with our expectations and met the midpoint of our guidance range. The result included $0.18 of stock-based compensation expense, a penny higher than anticipated entering the quarter. Our operating margin improved to 4.3%, as a result of traction gained by our productivity initiatives, which was partially offset by an unfavorable product mix. Please advance to slide four. Next, I will highlight additional accomplishments within the fiscal third quarter. Our teams maintained the strong wins performance achieving manufacturing wins of $227 million annualized when fully ramped into production, bringing our trailing four quarter wins to $938 million, which represents the highest level since fiscal 2013. The sustained wins performance enhances our confidence of future growth. The wins consisted of a healthy mix of programs with new and existing customers across our differentiated portfolio of highly complex products and demanding regulatory environments. The wins included future revenue associated with robotic assisted surgery and exciting technology that we highlighted at our Analyst Day in June. In addition to the strong wins performance, our teams increased the funnel of qualified manufacturing opportunities to $2.6 billion. This magnitude is proven sufficient to fuel our growth and gives us confidence that we will sustain strong wins momentum into the future. We're gaining traction in our inventory reduction efforts. We reduced inventory by an additional seven days or $45 million within the fiscal third quarter. This follows a three-day improvement in the fiscal second quarter. We expect further progress in the fiscal fourth quarter and as we proceed through fiscal 2020. We created meaningful shareholder value and delivered return on invested capital of 12.9%. This result represents an economic return of 390 basis points above our weighted average cost of capital, which we estimate at 9%. Our aerospace and defense sector continued its recent trend of strong growth, posting revenue of $151 million in the fiscal third quarter of 2019. This result represents 32% growth from the fiscal third quarter of 2018, an 8% sequential growth. In addition, the team expects another strong result in the fiscal fourth quarter. We anticipate fiscal 2019 revenue growth approaching 30% in the sector. We’re pleased to be recognized by our customers as a premier supplier in the highly complex aerospace and defense markets as a result of our focus on zero defects, our utilization of leading-edge technology and our advanced service offerings. Finally, our engineering solutions team continued its exceptional performance with record revenue and record quarterly wins once again in the fiscal third quarter. As a result, we are positioned for 25% revenue growth in the service offering in the fiscal year, a truly remarkable result for a large professional services organization. The strong recent growth is contributing to an exceptional 15% CAGR over the past six years. As we highlighted at our Analyst Day, we've been highly successful in converting engineering programs into meaningful long-term manufacturing revenue. We are encouraged by this performance and its impact to our future growth projections. We enabled further future growth of our engineering service offering in Europe with the expansions of both our Darmstadt Design Center in Germany and Livingston Design Center in Scotland. European OEMs are finding the same high value in our engineering solutions as the remainder of our global customers. Advancing to our guidance for the fiscal fourth quarter of 2019 on slide five. Looking ahead to the fiscal fourth quarter. I'm excited by the anticipated performance of our non-traditional differentiated sectors. We expect new program ramps and stable end markets within these sectors to soften the impact of a meaningful broad-based demand reduction in the communications sector. Therefore, we're guiding fiscal fourth quarter revenue in the range of $760 million to $800 million, which is consistent with the range we provided for our fiscal third quarter guidance. Our aerospace and defense sector is particularly strong and we expect sequential growth to approach 10% within the sector. The midpoint of our fiscal fourth quarter guidance range implies fiscal 2019 revenue growth of 9%, within our target range of 9% to 12%. Demand remains robust in our end markets within health care/life sciences, aerospace and defense, and industrial/commercial, exclusive of the semiconductor capital equipment. In fact, we expect our revenue growth excluding communications and semiconductor capital equipment to exceed 20% in fiscal 2019, highlighting our success in serving customers with highly complex products and demanding regulatory environments. Within the fiscal fourth quarter, we expect continued improvement in operating performance and are guiding operating margin of 4.5% to 4.9%, which at the midpoint would be in our target range of 4.7% to 5%. As a result, we are guiding GAAP EPS in the range of $0.81 to $0.91. This includes $0.18 of stock-based compensation expense and excludes any non-recurring charges as a result of addressing revenue declines in our communications business, given the disappointing revenue outlook for the sector. Please advance to slide six. Looking forward to fiscal 2020, we expect another year of growth, despite anticipated weakness in the communications and semiconductor capital equipment markets. The remainder of our markets remain stable and are growing. Further, our exceptional wins performance and ramp of new programs are the catalysts for future growth. Our portfolio continues to further differentiate in the markets that feature highly complex products and demanding regulatory environments. We anticipate fiscal fourth quarter 2019 revenue in the combined health care/life sciences, industrial/commercial and aerospace and defense sectors to exceed 90% of our portfolio. We expect we will maintain a similar concentration in fiscal 2020, further solidifying our leadership in these markets. In addition, I'm pleased with the readiness of our state-of-the-art facilities in which we invested during fiscal 2019 as well as the progress of our productivity initiatives. We anticipate a combination of these efforts will result in operating margin expansion in fiscal 2020 with performance in our target range of 4.7% to 5%. The end result would be meaningful EPS growth within fiscal 2020. In summary, our teams remain focused and aligned to our consistent successful strategy. We're confident in our ability to continue to deliver strong results and create shareholder value. I will now turn the call over to Steve for additional analysis of the performance of our market sectors and operations. Steve? 
Steve Frisch: Thank you, Todd. Good morning. Please advance to slide seven for a review of our market sector performance during the third quarter of fiscal 2019 as well our expectations for the sectors for the fiscal fourth quarter of 2019. Our health care/life sciences sector revenue increased 3% in the fiscal third quarter. This result was in line with our expectations of lower single-digit increase. New program ramps are the main contributor for the growth. Looking at the fiscal fourth quarter, the new program ramps continue. However, the introduction of lower cost next-generation products with a larger customer will mask the growth of the program ramps. As a result, we expect revenue to be flat for health care/life sciences sector in the fiscal fourth quarter. At this level, the sector would follow its 21% growth rate in fiscal 2018 with a high-teens growth rate for fiscal 2019, a clear indication that our strategy with this differentiated market sector is working.  Revenue in our industrial/commercial sector was nearly flat for the fiscal third quarter, which was better than our expectations of a mid single-digit decline. 5 of the top 10 customers within the sector outperformed original forecast. As we look at the final fiscal quarter of 2019, we see a mix of forecast increases and decreases across all of the subsectors. The net result is that we anticipate a low single-digit decline for our industrial/commercial sector in the fiscal fourth quarter. With this finish, the team would overcome an approximately 25% decline in revenue in the semiconductor capital equipment subsector and achieve a mid single-digit growth rate for fiscal 2019. They have been very successful in diversifying the sector’s portfolio. Our aerospace and defense sector grew 8% in the fiscal third quarter. The result was in line with our expectation of a high single-digit increase. Continued robust demand from existing programs combined with new program ramps enabled another quarter of strong growth. As we look toward to fiscal fourth quarter, we expect the base business to remain very healthy and new program ramps to continue. As a result, we are expecting a high single-digit increase for our aerospace and defense sector in the fiscal fourth quarter. Achieving this result would yield a remarkable growth rate of approximately 30% for fiscal 2019 for the sector, another clear indication that our strategy with differentiated market sectors is working. Our communications sector declined 7% in the fiscal third quarter, a result that was above our expectations of a low-teens decline. A stronger than anticipated ramp of new program was the main reason for the improvement. However, our customer forecasts for calendar 2019 in our communications sector continue to erode. 8 of our top 10 customers are forecasting significant reductions. As a result, we expect our communications sector to decline by approximately 35% in the fiscal fourth quarter. At this level of revenue, our communications sector will be down approximately 20% for the full fiscal year in 2019. Although the revenue forecast visibility for our communications sector suggests that the fiscal fourth quarter is the bottom, we also do not see a meaningful recovery on the horizon. As such, we have taken the necessary actions to align the organization to the new revenue projections. Please advance to slide eight for an overview of the wins performance of the fiscal third quarter. We won 23 new manufacturing programs that we expect to generate $227 million in annualized revenue when fully ramped into production. The wins were balanced with 14 coming from existing customers and 9 originating with new customers. The red bars represent our trailing four quarter manufacturing wins. We grew in the fiscal third quarter to $938 million. The gray line represents our wins momentum, a key indicator of future growth potential. At 30% in the fiscal third quarter, our wins performance continues to support future growth. The team generated another exceptional quarter of engineering wins by closing a record $42 million of opportunities. With the continued strong backlog, the engineering solutions team has been adding capacity throughout fiscal 2019. During the fiscal third quarter, we celebrated the grand opening of a new larger office at our Darmstadt Design Center in Germany. Please advance to slide nine for further insight into the wins results by region. Americas region wins of $118 million were exceptionally strong in the fiscal third quarter. Our Chicago, Illinois and Neenah, Wisconsin facilities will each benefit from substantial new health care/life sciences programs, while our Boise, Idaho facility gained two new meaningful aerospace and defense programs. The APAC region wins of $70 million in the fiscal third quarter included two strategic wins from our health care/life sciences sector. First, the team added another new customer to our recently opened Riverside East facility in Penang, Malaysia. The strong wins performance and solid execution from our site team is driving financial performance ahead of expectations. Second, the health care/life sciences team won a meaningful new program from an existing customer for a facility in Xiamen, China. The EMEA reason continued to build momentum with the robust $39 million of manufacturing wins in the fiscal third quarter. The wins include a significant energy management program that we expect to ramp in our Oradea, Romania facility in early fiscal 2020. Please advance to slide 10 for further insight into the manufacturing wins performance by market sector. Our health care/life sciences team generated exceptionally strong wins, totaling $114 million in the fiscal third quarter. Included in the wins is significant revenue associated with robotic assisted surgery devices. We're optimistic about the growing revenue potential in this expanding field of health care. The industrial/commercial sector produced $54 million of manufacturing wins. The expansion of our relationship with a large North American conglomerate is the highlight for the fiscal third quarter. Our EMEA team will join our Americas and APAC teams in manufacturing products for this customer. Our integrated manufacturing solutions have been a key differentiator for customers who desire a global solution. The aerospace and defense sectors wins of $24 million were mainly the result of market share gain with several existing customers. The continued wins with existing customers gives us confidence that the sector can maintain strong growth rate into the next fiscal year. Finally, our communications sector extended the relationship with an existing customer in the fiscal third quarter with a sizable win for our team in Penang, Malaysia. Please advance to slide 11. The funnel of qualified manufacturing opportunities increased to $175 million to finish a robust $2.6 billion in the fiscal first quarter. In spite of the strong wins performance, the health care/life sciences team grew their funnel to over $1.5 billion. Increasing interest from new customers is driving the strong funnel. In fiscal 2019, the industrial/commercial sector has been focused upon diversifying the sector by targeting new customers. Their strategy is working as their funnel grew almost 20% to $444 million in the fiscal third quarter, mainly from opportunities with new customers. The demand our global solutions in the aerospace and defense sector remains strong. The sector’s funnel is balanced with opportunities from existing as well as new customers and it continues to be healthy at $482 million. Next, I would like to turn to operating performance on slide 12. As Todd highlighted, we achieved record quarterly revenue of $800 million in the fiscal third quarter. Once again, the team did an outstanding job reacting to demand changes within the quarter to deliver for our customers. One impact of the increased communications revenue was on operating margin. At 4.3% operating margin in the fiscal third quarter was at the lower end of our guidance. As we look at the fiscal fourth quarter, we need to adjust to the new forecast reductions in the communications sector. As such we are aligning the organization to match projected demand as well as continue to drive productivity improvement. We expect to realize some of the improvements during the quarter. So, we’re guiding operating margin in the range of 4.5% to 4.9% for the fiscal fourth quarter. In addition to operating margin improvements, we are starting to realize the benefits of our focus on inventory improvements. Our days of inventory in the fiscal third quarter finished at 95 days, a 7-day sequential reduction from the fiscal second quarter. While we're pleased with this result, we remain focused on driving further improvements. Sometimes the financial results by themselves do not capture all of the accomplishments. There was a significant nonfinancial goal achieved during the fiscal third quarter. Our Chief Information Officer, Steve Gearhart, led a cross-functional global team that upgraded our enterprise resource planning system at all 15 of our global manufacturing locations. To do this without impacting results of the business in any quarter, leveling our quarter with record revenue is a testament to the outstanding leadership and exceptional capabilities of the team. It is accomplishments like this that provide a solid foundation for continued financial success.  A few final comments. As we enter the final fiscal quarter of 2019, the team is on track to finish our 40th year with record revenue and record operating profit. The team has done an amazing job adapting and adjusting to the changing dynamics of the business to put us in a position to achieve these results. In addition, we have made significant investments in fiscal 2019 in our people, in our tools and our facilities. The team's ability to pivot when forecast change is demanded yet simultaneously drive continuous improvement activities that strength our future, never ceases to amaze me. It is the team’s record performance that gives me the confidence that they will manage with the business to a strong finish in fiscal 2019, as well as the leverage of the successes we have had to ensure a great start to fiscal 2020. I will now turn the call to Pat for an in-depth review of our financial performance. Pat?
Pat Jermain: Thank you, Steve, and good morning, everyone. Our fiscal third quarter results are summarized on slide 13. Third quarter revenue of $800 million was at the top end of our guidance and sequentially higher by $11 million. Gross margin of 8.9% was sequentially lower by 10 basis points, primarily due to the underabsorption of fixed costs within our EMEA region and an unfavorable changing in customer mix. Selling and administrative expense of approximately $37 million was favorable to our guidance and sequentially lower by $800,000. The SG&A reduction was mainly related to our EMEA region, which reduced spending to partially mitigate the underabsorption of fixed cost. As a percentage of revenue, SG&A was 4.6%, a sequential improvement of almost 20 basis points. Impacted by lower gross margin, operating margin of 4.3% was at the low end of our guidance while sequentially higher by 10 basis points. Included in this quarter's operating margin was approximately 70 basis points of stock-based compensation expense. Non-operating expenses of $4.7 million were lower than expected in part due to foreign exchange gains. Our effective tax rate of 16.5% was slightly above guidance due to the geographic distribution of earnings. GAAP diluted EPS of $0.81 was at the midpoint of our guidance, with the number of diluted shares outstanding slightly favorable to guidance due to elevated share repurchase activity. Turning now to the balance sheet and cash flow on slide 14. In the fiscal third quarter, we continued our cash repatriation strategy by bringing back approximately $37 million of offshore cash. Since the enactment of U.S. tax reform last year, we have brought back over a $0.5 billion. During the quarter, we purchased approximately 784,000 shares of our stock for $44 million, at an average price of $56.61 per share. Through the third quarter, we have completed $172 million of the $200 million buyback program authorized last year. We intend to purchase the remaining $28 million of shares during our fiscal fourth quarter. Next month, we will review with our Board of Directors a potential for new authorization. On May 15, we refinanced our senior unsecured credit facility to take advantage of favorable pricing and improve our financial covenants. In addition, the maximum commitment under the credit facility was expanded from $300 million to $350 million with the potential to increase it by an additional $250 million. The maturity of the credit facility was extended to May 2024. The amended facility provides us with additional borrowing capacity and flexibility in anticipation of future growth. For the fiscal third quarter, we generated $42 million in cash from operations and spent $20 million on capital expenditures, resulting in free cash flow of $22 million. At the end of the fiscal third quarter, our cash balance was $205 million. Cash cycle at the end of the third quarter was 89 days, three days higher than our results in the fiscal second quarter. Please turn to slide 15 for details on our cash cycle. Sequentially, inventory days improved seven days, primarily due to our concerted efforts around inventory management. We were pleased to see our team's commitment to drive a $45 million sequential reduction in inventory. Corresponding to the reduced inventory, payable days were sequentially lower by seven days. In order to improve our inventory management, we pulled back on procurement activity. A portion of the reduction also related to the fiscal fourth quarter downturn expected in the communications sector. Sequentially, days and receivables increased by one day to 52 days as the amount of receivables sold under our customer factoring program was slightly lower. As Todd has already provided the revenue and EPS guidance for the fiscal fourth quarter, I’ll review some additional details which are summarized on slide 16. Fiscal fourth quarter gross margin is expected to be in the range of 9.3% to 9.7%. At the midpoint of this guidance, gross margin would be approximately 60 basis points higher than the fiscal third quarter. Improved customer mix, better fixed cost utilization and continued cost containment actions are contributing to the anticipated higher gross margin. For the fiscal fourth quarter, we expect SG&A expense in the range of $37.5 million to $38.5 million. At the midpoint of our revenue guidance, anticipated SG&A would be 4.9% of revenue, sequentially up 30 basis points. Fiscal fourth quarter operating margin is expected to be in the range of 4.5% to 4.9%, which includes approximately 70 basis points of stock-based compensation expense. The operating margin guidance is exclusive of any nonrecurring charges related to actions taken to address the revenue declines within the communications sector. At this point, we are still formulating the details and timing of the plan. A few other notes. Depreciation and amortization expense for the fiscal fourth quarter is expected to be approximately $14 million, slightly higher than the fiscal third quarter. Non-operating expenses for the fiscal fourth quarter are expected to be in the range of $4.8 million to $5.2 million. At the midpoint of this guidance, these expenses would be sequentially higher by $300,000. We estimate an effective tax rate of 14% to 16% for the fiscal fourth quarter, while the full year is expected to be 13% to 15%. Continuing our share repurchase activity during the fiscal fourth quarter, we estimate diluted weighted average shares outstanding to be approximately 30 million shares. Our expectation for the balance sheet is a reduction in working capital requirements. Based on forecasted levels of revenue, we expect the lower working capital will result in cash cycle days of 84 to 88 days for the fiscal fourth quarter. At the point of this guidance, cash cycle days would sequentially improve three days. We expect positive free cash flow for fiscal 2019. However, meeting our previous guidance of $40 million to $60 million will primarily be dependent on our continued efforts around inventory management and the ability to mitigate the impact from the significant reduction in projected revenue within our communications sector. Finally, our capital spending estimate for fiscal 2019 is expected to be in the range of $80 million to $90 million. With that, I will now open the call for questions. Sylvia?
Operator: Thank you. [Operator instructions] And our first question comes from Shawn Harrison from Longbow Research.
Shawn Harrison: Good morning, everybody. As you can imagine, I’ll delve right into the communications business. How much of this is a function of weaker demand versus maybe technology shifts that your customers are dealing with? And with this business, is there any risk of disengagements? We’ve have seen that with some communications customers over the years. As we look through fiscal ‘20, whether there is further downside side?
Todd Kelsey: Well, let me start on this, Shawn, and then, I will pass it over to Steve for some additional details and color around the technologies and such. But, in general, I’d view our customer relationships as strong and healthy, and all of the existing customer relationships we view as continuing out into the future and continuing to be significant suppliers. But what we’re seeing is basically broad-based demand reduction across the various subsectors that we service within communications now. Now, obviously, our portfolio is potentially different than other people in the market. So, they may or may not be seen as similar scenario that we are, but our subsectors are showing declines across all of them. In fact, as Steve highlighted, 8 of our top 10 customers are down, 6 of them are down double-digit percentage wise quarter-over-quarter. So, it goes beyond just a customer and goes very deep within the sector. Now, in general, when we look at the sector and our expectations, we expect the fourth quarter to be a trough, but it may be a bit more U-shaped, like we saw with the semiconductor capital equipment space. But, in general, we're not planning for a recovery of end market demand. But, we expect new program ramps from these previous wins that we talked about, to pick up revenue a bit, as we get into the fiscal 2020. And I’m certain that some on the call likely view this as a major issue for us, the communications reduction. And, I would say that we don't. We view it as a derisking of the portfolio. It’s certainly a volatile sector for us, our lowest margin sector. And it's given us the ability to drive our portfolio to over 90% in these other sectors. So, health care/life sciences, industrial/commercial, and aerospace and defense moving forward. And even despite the projected weakness, we're still expecting reasonable growth due to the strengths in the other sectors, kind of paralleling onto this over 20% growth that we're seeing in ‘19, excluding the semi cap and the communications business. So, we’d expect these other three sectors to overcome year-over-year communications reductions that we're going to see. Then, when you couple that with the margins going back into our target range, we’d expect fiscal ‘20 to be a good year from an EPS standpoint. So, Steve, maybe you want to highlight some of the technology and how we play perhaps at least in the in the cable space where we have several customers?
Steve Frisch: Sure. Shawn, I think you asked the question, is this a technology shift? And I think, from our perspective, it is. It's not a surprise, as you look at the centralized architecture is going to more distributed in the cable space as well as the virtualization. This is being worked on for years. I probably the only surprise to the industry has been the investment reduction by the MSOs. In the early calendar 2019, there was a pretty significant drop off in capital spending. I don't know anybody really anticipated. I think it's forcing kind of a look at what the architecture is going to be. So for us, we do participate in the centralized architecture, we also participate in the distributor architecture. And so, for us, we see programs that -- the shift happened. We see our potential revenue shift happening from centralized and more distributed. The challenge for us or the interesting part for us is the centralized being a bigger box, more expensive box and a bit lower volume box. The manufacturing solution that you put in place for that versus what you were probably going to need for a distributed solution, i.e. more medium volume products, lower cost products, is basically having us take a look at our long-term roadmap for where our communication products are going to be built and what we need to do to service our customers. And so, we believe the technology shift is happening. I don't think it -- it will be interesting to see how quickly it does shift because from our understanding, the distributed solutions and the virtualized solutions, although they're being investigated and worked and people are investing in them, they're not necessarily a commercial solution yet. So, we think this will take a few years to play out. But proactively, we're getting in front of it with our customers to make sure that the manufacturing solution that we have as the architecture shifts, solves their needs. And so, that's what we're doing, as we kind of talked about here in the script.
Shawn Harrison: So, that's a fantastic description. I guess, if I may have one follow-up. Todd, you touched on this, a U-shaped recovery and semi cap. I kind of get the sense that you're feeling maybe some of that recovery has been pushed out even a bit further into 2020. I don't want to put words in your mouth but just anything on semi cap?
Todd Kelsey: Yes. I would say, we don't have great visibility into it right now. I mean, what we see -- what we hear from our customers and read about is probably similar to what you do that people are talking about a 2020 recovery, probably back half, I would call it our best guess right now too. But the visibility is not great within semi cap. What I would say though is we're not seeing -- and it’s been consistent for well over a year now, we're not seeing any degradation in semi cap forecast. So, we truly believe we’re floating at the bottom right now.
Operator: Our next question comes from Matt Sheerin from Stifel.
Matt Sheerin: Just another question relative to the communications business and the cost cutting efforts there. You talked about margins improving next quarter and in fiscal ‘20. In terms of these cost cutting efforts, and I know you haven't provided details, but is the plan to get that segment at least within a profitable range to help boost the overall process of the Company? And imagine it's perhaps breakeven or even worse at this point.
Pat Jermain: Yes. Matt this is Pat. That would be the plan, and that's our expectation. We will point our annual operating plan together right now and laying out fiscal ‘20. And that would be our expectation. I mean, these actions we’re taking are pretty focused on one or two sites where our concentration of this business is at. And just to give a sense of magnitude, I mean, we’re still working this plan. But, my expectation is, the charges involved would be less than $3 million and the savings would be probably be 3 times that. But it would be important to execute on those initiatives and achieve those saving in order to get, as Todd said, back into our target operating margin range for fiscal ‘20.
Matt Sheerin: Okay. And in terms of the facilities where you’re making those cuts, I imagine you have other customers in other segments. So, is it relatively easy to just modify the equipment to serve other customers in other segments?
Steve Frisch: Yes. Matt, this is Steve. Yes. And actually to be honest with you, long term, I actually see this as a good thing because the mix of where the products are going and the business that we're wining for those sites, we actually see those sites as growth engines for us with other sectors. And so, this is freeing up space for us the long-term that is going to help us minimize any other investments there in the short-term. To be honest with you, long-term, it’s a really good thing. Short-term, to be honest with you, it’s lousy though because this reduction happening in the comms revenue as quickly as it did is forcing us to do this. But long-term, it’s going to work out really well for us.
Operator: Our following question comes from Jim Ricchiuti from Needham and Company.
Jim Ricchiuti: Thanks. Good morning. I know, your program wins can bounce around quarter-to-quarter. But, I wanted to just about the number of wins in the quarter down from previous quarters and yet your revenue potential for program is up nicely. So, I wonder if you could just speak to that. Is there anything that you’re pursuing larger deals, larger opportunities?
Todd Kelsey: Yes. Jim I would say, no. I would say, we're seeing more larger opportunities and we happen to close a bunch of them this quarter. But I think you will see that number of program wins fluctuate quite a bit. So, I wouldn’t be surprised to see it pop up to be something significantly higher next quarter. It just happened to be low this quarter because we closed a couple of big opportunities that we had in front of us.
Jim Ricchiuti: Got it. And on the industrial/commercial side of the business, I think you alluded to 5 of the top 10 customers outperforming. And I wonder if you could provide any additional color on that, just in light of, I guess, people's concerns about some choppiness in different parts of the industrial market and the potential that there could be some weakening going forward, even though it sounds like you're fairly positive about that part of the business. 
Steve Frisch: Yes. This is Steve. We are fairly positive on that part of the business. And part of my message was really, there wasn't a direct inclusion I could draw, saying that there's any market sector that was or sub sector that was significantly increasing or decreasing. We had customers at each of the subsectors, whether it was in transportation or oil and gas or even semiconductor capital equipment, see a little bit of an uptick and saw a few others come down. So, I don't see a trend in any one of the subsectors that really points to anything significant happening, other than the fact that, overall as we blend it together and look into in the fiscal 2020, we see growth in that sector for us. So, we are quite positive and optimistic on it going forward. 
Todd Kelsey: And just to add a bit, Jim, and beyond the growth even from an end market standpoint, if anything we're seeing, end markets tick up modestly. So, we're not seeing weakness in the subsectors that we're servicing right now, other than to state the obvious that semiconductor capital equipment continues to be weak, but not getting any worse.
Jim Ricchiuti: Got it. Last question for me, and I'll jump back in the queue. Thank you. Just with respect to the robotic assisted surgery, you've been talking about that for a while now. And I'm just wondering, at what point do you begin to see that potentially start to contribute more meaningfully to revenues in that sector? And I presume it's also going to be accompanied by better margins, I would think.
Todd Kelsey: Yes. We’d expect to start to see some impact to it in the back half of our fiscal ‘20. More meaningful impact would be as we get into ‘21 and ‘22 though.
Jim Ricchiuti: Okay. And carrying better margins?
Todd Kelsey: That's probably fair.
Jim Ricchiuti: Yes. Okay. Thank you.
Operator: Our next question comes from Anja Soderstrom from Sidoti.
Anja Soderstrom: I just have some follow-ups. You mentioned for the communications segment, it's generally lower margin. So, how should we think about that for the overall margin? Are you trending like what you see is driving into more advanced communications equipment with higher margins or is it going to help the overall margin that this is sort of becoming a smaller piece of the pie?
Todd Kelsey: Yes. I’d say, in general Anja, we see margins improving as we go into fiscal ‘20. And I think, the portfolio and the mix, basically having the over 90% the other areas certainly plays a role as those productivity initiatives that we talked about, starting last quarter. They’re starting to have a meaningful impact. So, we would expect to see margins up from what they are this year.
Anja Soderstrom: Okay. And that's going to be helped partially from the lower contribution from the communications segment.
Todd Kelsey: Yes.
Anja Soderstrom: Okay. And then, I also had a follow-up on the customer -- the contract wins that just had become larger. So, how should we think about that also, how that’s going to be helping, hopefully helping margins going forward as you don’t need to ramp as many projects, is that how to look at it? And it’s better that there are larger contracts, so you don’t have to shift their production as often?
Steve Frisch: Yes. This is Steve. We see kind of the wins this quarter in terms of the larger size and smaller number is not necessarily a trend. As I look at the funnel broken out in terms of size of opportunities across all of the sectors, our overall portfolio of opportunities in terms of their size and the number that we have in each of those buckets has fundamentally shifted over the year. And so, as I look at the funnel of opportunities that we have coming at us, it's pretty well balanced between larger ones, medium ones and smaller ones. It just so happened that this quarter, we did call the few larger ones which drove the average up higher. And yes, ramping fewer, bigger does help in terms of the cost structure that you have to have in place to ramp them. But I don't see this, just this one quarter is not a trend and not something I’d really read into anything different than what we’ve been doing in the past in terms of the growth projection of the business or the investments that we need to make to grow the business.
Operator: Our next question comes from Paul Coster from JP Morgan.
Paul Chung: This is Paul Chung on for Coster. Thanks for taking my question. So, just on free cash on the CapEx side, understand you’re investing in facilities this year, that level of spend should come down next year, but on the working cap side, inventory levels improved but your overall cash cycle days continue to increase. When can we see more material improvement in free cash flow and when can we get above that $100 million mark?
Todd Kelsey: Yes. So, Paul, we're right in the stage of preparing our plan for next year. So, we will be finalizing that in the next month. But, as I look to fiscal 2020, there is three areas that I believe we’ll see improvements to our cash cycle. You touched on one of them, capital spending, which is in that range of $80 million to $90 million this year. Our expectation next year that will be reduced probably $25 million to $30 million from that number because we did do a lot of investment in fiscal ‘19 in facilities, and we won't see that level of spending next year. So, that's one area that we will see improvement. Second area is around what we’ve touched on operating margins, getting within that target operating margin range, which will deliver more free cash flow from operations. And then lastly, our efforts around working capital, we're seeing those start this year with the reduction in inventory days. We expect to see that continue in the fiscal fourth quarter. We are working through the reduction in the communications sector. Because that’s come down significantly over the last couple of months, we pulled back and procurement activity, but some of that inventory we had on hand given longer lead times. So, that is impacting fiscal ‘19 free cash flow at the end of this year. But our expectation is to continue our efforts around inventory management throughout fiscal ‘20 and see improvement there. So, the combination of those three, I think will be approaching $100 million. Whether we get above that, we will see as we finalize the plan over the next month. 
Paul Chung: And then, just a follow-up on your accounts payable that had to do some of the comps dynamic there. What's kind of driving the higher payments there that? Is that those days something we should expect in the coming quarters or is that something structural?
Todd Kelsey: Yes. So, what we saw this quarter was a significant reduction in our accounts payable days, probably a little more so than we had forecasted for a couple of reasons. With the inventory efforts, we’re obviously pulling back on purchasing materials. So, that's reducing our payable days. But, then also, with the communications, reduction, we've pulled back on purchasing that -- of those components. So, to answer your question going forward, I think we will see our payable days and that balance elevate over the next few quarters and probably get more to the normal level we've seen before this quarter.
Pat Jermain: I think, in general, Paul, if we look at our inventory reduction efforts, as we're going through that, our payables are likely to be a little bit depressed, but in the longer term, they should exceed 60 days as they typically do, as we get moving toward reduction efforts stabilized.
Paul Chung: Got you. And then on the comp side, if this downward pressure kind of continues to accelerate, are you having discussions on possibly exiting this business and maybe redistributing resources to maybe healthcare/aerospace? Is this kind of even a possible option for you guys, if you could expand on that?
Steve Frisch: We're certainly looking at how we manage our team and utilize our resources internally. What we're now looking at doing is doing any proactive moves with our customers. And then, we value the customers we have in this space. And we think they are really good companies that have good technologies. But I think you'll continue to see communications be relatively small piece of our portfolio. But, at this point -- and we allocate our resources appropriately, based off of that.
Todd Kelsey: And Paul I’d add. I mean, last quarter, we reported that we added five new logos. So, there are opportunities for us in this sector.
Paul Chung: Okay. And then, lastly, on the tariff font, any further update from your commentary from analyst day? It seems like Mexico's in the clear now but -- for now, at least. But are your customers kind of taking any actions at all to move productions in China or any of those discussions accelerating at all? Thank you.
Todd Kelsey: Yes. So, there's a bit of movement in China right now, given that there hasn't been a successful resolution yet of the tariff situation. So, I mean, just to remind everybody, we're just a little bit over 10% of our revenue in China, so a little over $300 million. So, it's not a significant exposure for us. And a significant portion of that, more than half stays in China. But, we do have discussions going on with multiple customers. And we have -- for that we're doing some qualification builds in other geographies. So, it could end up being about 10% or so of our China revenue that moves to other geographies during the course of fiscal ‘20 as of right now. So, we're seeing some impact. We're certainly seeing some impact in where we source new programs. Although we did have a major win in China this quarter. So, I think there's an ability to be able to -- to have small growth within China as we move forward, just not at the levels maybe that it’s been in the past.
Paul Chung: Thank you so much.
Operator: [Operator Instructions] We have no further questions at this time. I'd like to turn the call over to Todd Kelsey for closing remarks.
Todd Kelsey: All right. Thank you, Sylvia. And thank you to everyone who joined us on our call today. As always, we appreciate your support, your interest in Plexus. I’d also like to thank our Plexus employees globally for their commitment to our customers and our customers’ success. It’s the efforts of our teams that truly differentiates Plexus. So, I look forward to a successful close of our fiscal 2019 and further progress in fiscal 2020.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.